Operator: Greetings, and welcome to CVR Partners Fourth Quarter 2016 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jay Finks, Vice President of Finance. Thank you. Mr. Finks, you may begin.
Jay Finks: Thank you, Doug. Good morning, everyone. We appreciate your participation on today’s call. With me today are Mark Pytosh, Chief Executive Officer; and Susan Ball, our Chief Financial Officer. Prior to discussing our 2016 fourth quarter results, let me remind you that this conference call may contain forward-looking statements as that term is defined under federal securities laws. For this purpose, any statements made during this call that are not statements of historical facts, may be deemed to be forward-looking statements. Without limiting the foregoing the words outlook, believes, anticipates, plans, aspects and similar expressions are intended to indentified forward-looking statements. You’re cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publically update any forward-looking statements, whether as a result of new information, future events or otherwise except to the extent required by law. This call also includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures, including reconciliation to the most directly comparable GAAP financial measures, are included in our 2016 fourth quarter earnings release that was filed with the SEC this morning prior to the open of the market. With that said, I’ll turn the call over to Mark Pytosh, our Chief Executive Officer. Mark?
Mark Pytosh: Thanks, Jay, and good morning, everyone, and thanks for joining us for today’s call. The summary of financial highlights for the 2016 full year included revenue of $356.3 million; adjusted EBITDA of $92.7 million; and a net loss of $26.9 million. Looking more specifically at the 2016 fourth quarter, we reported revenue of $84.9 million, adjusted EBITDA of $18.3 million, and a net loss of $14.5 million. During the fourth quarter, both of our facilities continued to post high on-stream rates. At Coffeyville, the gasifier ran at 96%; the ammonia unit operated at 91%; and the UAN plant at 93%, while at East Dubuque both the ammonia and UAN units operated at nearly a 100%. For the fourth quarter, our combined operations produced 207,600 tons of ammonia. We converted the majority of that produced ammonia into 330,700 tons of UAN, leaving 62,600 tons of ammonia available for sale. We sold a combined total of 335,100 tons of UAN during the 2016 fourth quarter at a product pricing gate of $147 per ton, which was reflective of pricing for fill season that began in August. Our 2016 third quarter product price at gate was $154 per ton. For ammonia, we sold a combined total of 55,700 tons at a product price at gate of $352 per ton; this is compared to our product pricing gate at 345 tons for the 2016 third quarter. I would note that East Dubuque’s ammonia deliveries were less than anticipated for the fourth quarter as conditions across the region for the fall ammonia application season were difficult. We expect that shortfall in ammonia tons applied in the fall to be made up during the spring application. Primarily as a result of the challenging nitrogen fertilizer pricing environment and the deferral of ammonia deliveries to the spring for East Dubuque, we’re not in a position to pay distribution for the 2016 fourth quarter. In my closing remarks, I’ll discuss the industry conditions for having the much improved pricing we’ve seen to-date 2017. But before that, Susan will discuss our detailed financial results. Susan?
Susan Ball: Thank you, Mark. Our acquisition of the East Dubuque facility occurred at the beginning of the 2016 second quarter, and as a result, year-over-year comparability is significantly impacted across the line items reported in our financials. Looking specifically at the 2016 fourth quarter, net sales for the period were $84.9 million as compared to $66 million in 2015. The increase was attributable to the inclusion of East Dubuque in 2016’s fourth quarter. Excluding the East Dubuque, net sales would have decreased $17.1 million. The substantial majority of this decrease at Coffeyville was related to the lower year-over-year pricing for UAN, and to a lesser extent, ammonia. Partially offsetting the decrease was primarily higher sales volumes in UAN in 2016. The increase in cost of materials and other for the 2016 fourth quarter to $21.5 million as compared to $9.5 million in 2015 was primarily attributable to the inclusion of East Dubuque. Excluding East Dubuque, cost of materials and other would have increased by $5.1 million, primarily due to increased sales volume and related freight expense as well as higher costs for railcar repairs and inspections during the 2016 fourth quarter. Direct operating expenses for the 2016 fourth quarter increased to $37.9 million from $23.3 million in the prior year period. Excluding East Dubuque, direct operating expenses increased nominally by $700,000 Selling, general and administrative expenses for the 2016 fourth quarter were $7.3 million as compared to $5.6 million for the fourth quarter of 2015. The increase was primarily associated with $1.9 million for the inclusion of East Dubuque. The increase in 2016 fourth quarter depreciation expense to $17.2 million from $7.2 million in 2015 was primarily due to the inclusion of East Dubuque in 2016. Interest expenses and other financing costs were $15.8 million for the fourth quarter of 2016 as compared to $1.8 million for the same period last year. The increase was due to the increased borrowings due to completed East Dubuque acquisition and the higher interest rate. Finally, we recorded a net loss of $14.5 million or $0.13 per common unit in the 2016 fourth quarter, this is compared to net income of $18.7 million or $0.26 per common unit for the fourth quarter of 2015. Now turning to capital spend. During the 2016 fourth quarter, we spent $5.9 million on capital projects, including $5.4 million related to maintenance CapEx. For 2017 full year, we expect combined spending for maintenance CapEx at our two facilities of approximately $15 million. Looking at the balance sheet, as of December 31, we have $56 million of cash and cash equivalents, and approximately $647 million of total debt. Finally, on our website, you’ll find a brief presentation of certain selective financial information, including estimated pro forma adjusted EBITDA for the 12 months ended December 31, 2016 of $121.4 million. I would note that the pro forma adjusted EBITDA assumes the East Dubuque merger and the 2016 second quarter financing transactions occurred at the beginning of the 12 months period. Pro forma adjusted EBITDA does not support to represent what the Partnership’s results actually would have been. With that, I’ll turn the call back to Mark.
Mark Pytosh: Thanks, Susan. On our last earnings call at the end of October, we discussed a significant upward movement we were seeing in global year real pricing for the first quarter of 2017 deliveries. Shortly thereafter, we began to see forward UAN pricing increasing as well, which is consistent with what we have seen historically as nitrogen prices typically trend in the same direction. More recently, we have also seen a significant rebound in ammonia prices, for spring ag deliveries. While we’ve seen a strong increase in overall nitrogen pricing, U.S. urea pricing still remained below global prices at this time. Contributing to the improved price environment from what we expect was the cyclical low seen in the second half of 2016 as a number of factors. First, despite another large corn harvest this past year, the expectation is that there will be around 90 million acres of corn planted in U.S. in 2017. While this will be a bit lower than last year’s planting of 94 million acres, the amount of nitrogen fertilizer required for the spring will be sizable. Second, retailers, dealers and distributors did not purchase as much product as in last year’s fill season, given their expectation that the increased capacity slated to come on line in the U.S. would be fully available for this spring. While we do expect to expand it in new facilities to participate somewhat in the planting season, it is now clear that the amount of additional supply will be lower than what was originally anticipated by customers. This has led to increased demand to meet spring needs for domestically produced product. Another key factor supporting increased prices is lower urea production in China, which has reduced the amount of urea being exported by China into the global marketplace. From 2011 to 2015, China grew its urea exports by almost 300% from 3.6 million metric tons to 13.7 million tons. However, in 2016, the combination of low global urea prices and higher feedstock costs for coal, resulted in China cutting its blended plant utilization rate from normal 70% in May to approximately 55% by the end of the year. As such, it is estimated, China only exported 8.9 million metric tons of urea last year, which was 4.8 million tons or 35% lower than 2015. We have capitalized on the improved demand and pricing in the U.S. by selling our expected produced tons through the end of the first quarter and partly into the second quarter. We expect to sell the remaining second quarter tonnage of higher prices, as we believe there may be room for additional price upside as we approach the end season demand. While retailers, dealers and distributors made good progress in December and January securing additional inventory, they still need to purchase additional supply to meet farmer demand for planting and side-dress application. Where second quarter 2017 price to settle [ph] will be impacted by the pace in which the additional domestic supply comes on line and the level of imports into the U.S., at this point we do not expect any potential increase in Chinese operating rates and resulting exports or imports into the U.S. from other source of have a dramatic impact on available supply for the spring. While it’s difficult to predict the intentions on the Chinese producers, the significant reduction in Chinese exports is helping the U.S. market, absorb the additional domestic production as it has been coming on line. We expect this dynamic to help reduce the volatility in nitrogen fertilizer pricing as we head in to the next fill season. As the U.S. market becomes more domestically supplied, there will be fewer imports needed to balance the market. With less tons directed to the U.S., the risk of build-up or shortage of inventory at ports and inland terminals should be reduced. Historically, the inherent inefficiency of importing significant tonnage to meet demand has been a key driver in many of the volatile price swings we’ve seen in the U.S. As the market completes the transition this year, we will main focused on what we can control, including operating our plants at high on-stream rates, prudently managing our cost, being judicious with our capital, and maximizing our marketing and logistics activities. Also during this period of industry transition, we expect further consolidation to occur. As such, we will continue to evaluate potential opportunities to grow the business through strategic transactions that are accretive to distributable cash flow but do not increase our financial risk profile. With that, we are ready to answer any questions. Doug?
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Adam Samuelson with Goldman Sachs. Please proceed with your question.
Adam Samuelson: So, Mark, maybe I wanted to dig in a little bit more on how the spring season is setting up. You commented that you basically sold through part of the second quarter at this point. Can you talk a little bit about when those forward sales occurred? I mean internally, spot prices have improved considerably from where they were in the fall, just any color you can provide on forwards sold in December or November or January ex cetera?
Mark Pytosh: So, Adam, if you go back to December, we were really selling first quarter tons, and that price continued to rise into January and we kind of -- December, January were focused mostly on filling out the first quarter delivery schedule. And it’s been more recent that we’ve taken a little bit into the second quarter. It’s not a significant piece of the second quarter at this point. You’ve probably seen urea prices have been lower in the last week. This is typically the mid February, a low period where sort of no one’s buying because they are waiting another probably two weeks before the spring application pre-purchasing will begin. Although we’ve been seeing some weak top for us, there has been some earlier spring application of ammonia. So, there has been some truck activity out of -- certainly out of Coffeyville, but we’re partially moving [ph] there. But, we think when the customers come back in, in the coming weeks to reload for the spring that the market will firm from here. Because there is not a lot of barge activity that’s set up as well, that’s come in, but in the forward look, there is not nearly as much barge activity. So, it’ll have to come from the domestic production.
Adam Samuelson: That’s helpful. And in that vein, can you talk a little bit about your distributor kind of retailer customer buying patterns and how that -- where they did not engage in that -- in that summer fill last year? I mean, how that might have changed as prices started to move up through 4Q and through January?
Mark Pytosh: So, we have a much lighter fill season purchase than we had in previous years. And what we saw is in early December, a number of big customers came back in and bought another layer at higher pricing in December. And that really started to lift the market. So, they took a smaller piece in July, and they took another piece in December and January, and we expect them to be back. They are not as -- they didn’t purchase as much as they have historically. So, there is another lag to come as we go into the spring and that will pretty much, I think drain the domestic system, as we get through this application period in the spring. So, it was done in three steps, it normally would have been two steps; this year, it was three steps.
Adam Samuelson: Helpful. And then, just a clarifying question, Susan. I just want to make sure I heard correctly. You said $15 million of CapEx all-in maintenance turnaround for the year?
Susan Ball: Yes. That’s correct, Adam.
Operator: Our next question comes from the line of Charles Neivert from Cowen. Please proceed with your question.
Charles Neivert: Couple of questions, one, in terms of what you guys are selling right now out of East Dubuque, have you been able to discern at all if there is any sort of crop switching going on over there, meaning some of the sales lightness so to speak, in the fall, may have also been allowing the farmers some flexibility to choose, which crop they are going to deal with. Obviously, laying down nitrogen means you’re planting corn. So, have you been able to sort of pick up anything from that? And then, secondarily, your soon to come neighbor I guess, OCI, have you heard anything about the -- have they been in the market at all or have you seen any of their products floating around lately?
Mark Pytosh: So, let me start with -- I will start with your second question first. We -- this is OCI, we were -- they sold little bit of products in the second quarter; they are not active in the spring application, the immediate short-term. I don’t think they have any real scalable production at this stage. So, I don’t see them participating in the April -- April is a big month up in East Dubuque. So, I don’t see them participating in any significant degree there. They might catch the tailwind. But, they’d have to be pretty much running a full production data to produce enough volume to sell in there. So, that’s one of the reasons that the market’s probably going to be firmer there, because a lot of customers were building in an expectation that that volume would be available, and it’s not likely to be, not in size going to be available. On the first question, we -- it’s probably early to call whether there is going to be -- how much shifting of the -- over to soybeans this year up there. I’m not hearing based on the way customers are purchasing into the second quarter, into the spring application that there is huge shift there. There might be a marginal shifting of acreage there. Corn price is pretty decent right now. The NYMEX price is like 3.75 a bushel. So, I don’t really see a big shifting going on there. The biggest issue at East Dubuque was soil temperature didn’t get below 50 till late and that started raining. And so, we just didn’t get a lot of ammonia on the ground. But all the customers -- I was at TFI last week, all the customers have come back and said that they are largely going to take that up in the spring. And so that product is going to move in the spring application to put that nitrogen with soil. But the other dynamic which is interesting is, we did not have a good fall wheat [ph] run out of Coffeyville, but that market is really the top dress there, because we didn’t put it in fall. The top dresses are coming back on there. And so, we’re seeing more demand out of Coffeyville than we were expecting going into the wheat run but that’s a catch-up from what was not a great fall of normally in the wheat run. So that market’s been pretty firm around that part of the country for the producers.
Charles Neivert: So, let me make sure I understand. So, from what you can see in East Dubuque, it doesn’t look like there is going to be -- like you said on the margin, it might be a little crop switching, but most of the issue on low fall sales was a combination of weather and anticipation of lower pricing as opposed to the flexibility call?
Mark Pytosh: Yes. I mean, soybeans mark really -- the decision was the weather wasn’t good, and we we’re not putting out there and oh, by the way, that’s great, because I’ll be able to buy tons in April. And so that was the dynamic in East Dubuque.
Operator: Our next question comes from the line of Ronald Betten from Wells Fargo. Please proceed with your question.
Ronald Betten: As you know, we’ve met and I represent the retail clients. When can we expect a distribution again?
Mark Pytosh: Ron, we don’t provide a forward view of forecast for the Company. But, obviously with improving market conditions, it improves our prospects for getting back into distributions again. So, let’s see how this first half plays out. And it looks like pricing is going to be a lot firmer than the second half of 2016. And then, we will talk to the Board about what we’re going to do from a cash flow prospective. So, stay tuned for the first half year.
Ronald Betten: Okay. Well, obviously, as again representing all the retail investors, you know what our number one priority is.
Mark Pytosh: It is ours as well, but in the market environment we were in, in the second half, we weren’t in a position to make distributions. But with conditions improving, that will improve our prospects for getting back into distributions.
Operator: There are no further questions in the queue. I’d like to hand the call back over to management for closing comments.
Mark Pytosh: Just want to thank everybody for being on the call today, and we look forward to talking to you about our first quarter results in a couple of months. Thank you.
Operator: Ladies and gentleman, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time. And have a wonderful day.